Operator: Good morning, and welcome to the AZZ, Inc. First Quarter Financial Year 2020 Financial Results Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note, today’s event is being recorded. At this time, I would now like to turn the conference over to Joe Dorame, Managing Partner, Lytham Partners. Please proceed.
Joe Dorame: Thanks Chris. Good morning and thank you for joining us today to review the financial results of AZZ Inc. for the first quarter of fiscal year 2020 ended May 31, 2019. On the call representing the Company are, Mr. Tom Ferguson, Chief Executive Officer; and Mr. Paul Fehlman, Chief Financial Officer. After the conclusion of today’s prepared remarks, we will open the call for a question-and-answer session. Please note, there is a slide presentation for today’s call, which can be found on AZZ’s Investor Relations page under Financial Information at www.azz.com. Before we begin with prepared remarks, I’d like to remind everyone, certain statements made by the management team of AZZ during this conference call constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Except for the statements of historical fact, this conference call may contain forward-looking statements that involve risks and uncertainties, some of which are detailed from time-to-time in documents filed by AZZ with the United States Securities and Exchange Commission, including the Annual Report on Form 10-K for the fiscal year ended February 28, 2019. Those risks and uncertainties include, but are not limited to, changes in customer demand and response to products and services offered by the Company including demand by the power generation markets, electrical transmission and distribution markets, the industrial markets, metal coatings markets; prices and raw material costs including zinc and natural gas, which are used in the hot-dip galvanizing process, changes in the political stability and economic conditions of the various markets that AZZ serves, foreign and domestic, customer requested delays of shipments; acquisition opportunities; currency exchange rates; adequate financing and availability of experienced management and employees to implement the Company’s growth strategies. The Company can give no assurance that such forward-looking statements will prove to be correct. These statements are based on information as of the date hereof and AZZ assumes no obligation to update any forward-looking statements whether as a result of new information, future events or otherwise. With that said, let me turn the call over to Mr. Tom Ferguson, Chief Executive Officer of AZZ. Tom?
Thomas Ferguson: Thanks, Joe. Welcome to our first quarter fiscal year 2020 earnings call, and thank you for joining us this morning. We are pleased with the solid start in fiscal year 2020. We generated 10% revenue growth and 35% net income growth versus the prior year. Our Energy segment had a fairly normal spring turnaround season, shipped a portion of the high-voltage Bus Chinese order that pushed out of the last quarter, and regained operational traction in most businesses. The Metal Coatings segment experienced increased demand in the solar and petrochemical markets and contribution from the acquisition of Tennessee Galvanizing and K2 Partners. Overall, we generated $289 million in revenue which is over 10% growth versus Q1 fiscal year 2019. The Metal Coatings team improved operational efficiencies as the usage of DGS which is our Digital Galvanizing System continues to grow in our galvanizing plants. We also experienced improved contribution from Service Technologies and continued our emphasis on value pricing. We experienced lower cost of zinc flowing through our kettles, although labor costs continued to rise as the craft labor market remains tight. Overall, we were able to drive net income up over 35% versus first quarter last year to $21.3 million. While our consolidated bookings were down 13% as compared to the first quarter of last year, it is important to note, during the first half of fiscal year 2019 we booked two large Chinese orders worth $45 million in the first quarter and $55 million in the second quarter and also had a very large international order for welding solutions. We continue to build on the positive momentum in the Energy segment with a strong backlog of more than $300 million. This set the stage for solid performance into the back half of the year, while our Metal Coatings business continues to gain traction from our key initiatives to drive growth both organically and through acquisitions. The Metal Coatings segment revenue increased 6% from the first quarter of last year. Operating margins increased to 24.1% compared to 21.9% in the first quarter of fiscal 2019. This is due to lower zinc costs flowing through our kettles, value pricing, and the immediate contributions from our two acquisitions made in the quarter. We have taken steps to improve labor productivity and are seeing our Digital Galvanizing System driving greater operational efficiencies and productivity. We remain the industry leader in North America with 41 galvanizing plants. We are pleased to be gaining meaningful traction in our new businesses, powder coating, plating and galvanized rebar. These make up our AZZ's surface technologies business group. This gives us growing confidence that our investments will yield positive financial performance in the years to come. Our Energy segment's high-voltage bus business had a strong first quarter executing on our large contract in China that along with other Chinese contracts will continue to be shipped throughout this fiscal year. While some of our electrical served markets displayed improvement compared to prior year, our oil patch businesses are seeing somewhat reduced demand. We are especially pleased with the demand for our specialty welding solutions both domestically and internationally, particularly as our investments in Europe, Brazil and Canada have positioned us to participate in these opportunities and reduced our dependence on the U.S. nuclear market. We remain somewhat cautions due to the uncertainty related to tariffs and the Chinese trade situation, as well as the tighter market for labor in many of our U.S. locations. Looking forward, we are reaffirming our previously issued fiscal 2020 guidance of earnings per share in the range of $2.25 to $2.75 per diluted share, and annual sales in the range of $950 million to $1.30 billion. And with that, I'll turn it over to Paul Fehlman. Paul?
Paul Fehlman: Thanks Tom. For the first quarter of fiscal year 2020 we reported net revenue of $289.1 million, a $26.9 million increase or 10.3% greater than the first quarter of fiscal year 2019. Net income for the first quarter of fiscal 2020 was $21.3 million, an increase of $5.6 million or 35.4% greater than the prior year first quarter. Reported diluted EPS rose 35% to $0.81 compared to $0.60 in the prior year first quarter. Quarter one fiscal 2020 gross margins improved to 22.9% from 22.4% on a year-over-year basis primarily on strong market performance in the Metal Coatings segment. Operating profit for the first quarter of fiscal 2020 grew from $23.7 million in the prior year to $31 million in the current year representing a 30.7% increase. Operating margins of 10.7% increased 170 basis points compared to 9% in the prior year. Our effective tax rate for the quarter was 21.1% compared to last year's rate of 22%. As for our segment results, first quarter revenues in our Energy segment were up 13.6% to $167 million compared to the prior year of $147 million. Much of the increase in sales can be attributed to high-voltage bus shipments to China and a stable domestic refinery turnaround market, somewhat offset by lower international refinery revenues as we lapped a very good prior year quarter. Energy segment operating income increased 26% to $12.6 million compared to $10 million in the prior year. Gross profit in the segment improved to $32.6 million in fiscal year 2020 compared to $29.6 million in the prior year. This pushes the gross margin down slightly to 19.5% this year compared to 20.1% in the prior year first quarter. Operating margins for the first quarter however was 7.5% compared to 6.8% in on prior year. In our Metal Coatings segment, first quarter fiscal 2020 revenues rose 6% to $122.2 million compared to the prior year at $115.3 million while operating income grew 16.7% to $29.4 million compared to the $25.2 million in the same period last year. The increase was due primarily to lower zinc costs and an increase in production. Operating margins finished at 24.1% for the quarter up 220 basis points compared to the 21.9% for the prior year. Cash flow from operations fell by $6.2 million in Q1 compared to the prior year first quarter despite higher net income year-over-year. We normally see the first quarter as a negative cash quarter for the business and this year was no different. We continued to invest in the business in the first quarter with two acquisitions now operating as part of the Metal Coatings segment and already contributing to the bottom line in the first quarter. We will continue to seek more opportunities like these to continue to properly grow our Metal Coatings offerings. The risks to fiscal year 2020 that we described in the last earnings call still exists for the year as a whole, but for the most part did not materialize in the first quarter of the year as Metal Coatings margins increased. We did indeed ship high-voltage bus ducts to China and we received firming orders for the fall turnaround season. With that, I'll turn it back to Tom. Tom?
Thomas Ferguson: Thanks Paul. In closing, we are focused on improving productivity and efficiency throughout the company, continuing to adapt our products to new market opportunities and to develop innovative solutions for our served markets. We remain committed to driving our Metal Coatings operating margins back to the 23% to 25% range consistently and our Energy margins to above 10%. We believe our first quarter performance is an early indication that we have emerged stronger and much better positioned to generate consistent operating results going forward. And now, we'll open it up to some questions.
Operator: [Operator Instructions] Today's first question will come from John Franzreb of Sidoti & Company. Please proceed.
John Franzreb: It’s John, but good morning Tom and Paul, how are you doing?
Thomas Ferguson: Hey, good John.
Paul Fehlman: Hi John.
John Franzreb: Good start to the year. My first question is Tom, you kind of characterized this spring as a normal turnaround season. What are your initial thoughts on how the fall turnaround season is shaping up relative to the spring?
Paul Fehlman: Yes, this is Paul. It is stacking up to be stronger and we're quoting a lot of stuff already, we're getting some engineering bookings, we're seeing positive signs as we get closer to the fall season and that's both domestic and international in that case.
John Franzreb: Okay, great. But much of the beat in the quarter actually had come from the Metal Coatings side of the business, so can we talk a little bit, I guess there's a couple of things here, one K2 and the Tennessee acquisitions, how much in revenue did they contribute to the quarter? And it doesn't sound like they contributed anything to the Op income line, is that true?
Paul Fehlman: Yes, they were relative. You know, there are normal bolt-on acquisitions, they are relatively small revenue. We were just pleased that they did contribute and they actually did contribute some operating income, but given their size it's not really significant. We just want to call it out because the teams did such a great job given they integrated quickly, giving the support they needed and just really for us it just shows we're back on track with how we can [indiscernible] and how we break them into the company and that we're acquiring good teams and good businesses.
John Franzreb: Okay, you know, I'm sure this is immaterial Tom; I'm going to ask it anyway. Just how you characterize the two businesses in the Q? It sounds like K2 is more of a normal regional galvanizer, but Tennessee seems like it has a client base that is throughout the country. Is there a particular reason for that difference, do they provide any kind of different services that they are making more of a countrywide business?
Thomas Ferguson: Yes, we need to flip them the other way, John.
John Franzreb: Okay.
Thomas Ferguson: K2 Partners is a power coater and plater out of close by in North Texas and then it got a location over in Tampa. So they do, because they do a lot of automated type powder coatings, they do attract business from further away than you normally see from a galvanizing business. Tennessee Galvez is outside of Chattanooga, Tennessee and they draw from that Southeast market and Eastern Tennessee and of course we have a facility up in Nashville that picks up as you go further north.
John Franzreb: Okay, fair enough. And one last question, also in the Q there was mention of the Westinghouse settlement. I'm wondering if they had revenue contribution and the energy started business in the quarter and kind of maybe just update us just on where that all stands?
Paul Fehlman: Yes, so we do call it out in the 10-Q as part of the contribution on the revenue side, it's not a big contributor though, but we don’t call out a number on it, but it's somewhat de minimis that what that is. In terms of the entire deal with Westinghouse basically we've entered into deals of how the representative of Westinghouse clear out the open items that we had filed with the bankruptcy court. So, pretty much getting to the end of it and it was a pretty favorable return.
John Franzreb: Okay Paul, thank you very much. I'll get back into queue.
Operator: Our next question comes from Jon Braatz of Kansas City Capital. Please proceed.
JonathanBraatz: Good morning Tom and Paul.
Thomas Ferguson: Hi Jon.
Paul Fehlman: Hi Jon, good morning.
Jonathan Braatz: On the coatings side you called out a couple of factors that contributed to the better margins, zinc prices, efficiency, productivity and so on. Can you give us little color on obviously zinc prices are going to go up and down, but some of the items that are more sustainable and your ability to retain these margins in the face of maybe some rising zinc costs, I'm trying to get better idea of how much real internal progress you're making on margins as opposed to maybe taking advantage of lower zinc prices?
Thomas Ferguson: Yes, that's a great question, or is that a question? Yes zinc costs move around. I think one of that we reorganized the sales effort little over a year ago, so and I think that's really taken where we tended to bring in more value oriented sales, technical sales folks and focused that effort on making sure that we're getting paid for the services that we provide, because we do in some cases we provide transportation services and in other plants we do more hand leading than in others. So we've got about 35 or 38 different services that we consider we offer. So that's focused on value pricing, is really taking root. I feel good about the team's ability to get paid for the value that they are delivering. And then on the other side, DGS we've obviously had a lot of focus on labor productivity, on efficiencies, drive, keep our zinc scrap low if you will. But I think with DGS we're getting more instrumentation, more sensors, we're taking paper out of the plants. And when you think about how a plant, when galvanizing plants laid out, you can have, you have routers that are 150 to 200 yards away from the office to get them to, to bring them in and get things in putted. So to me that's where we're driving labor productivity and efficiencies because we're now doing a better job using the digital tools that we've been working on for the last couple of years are finally truly coming into play. So I view that as that's what's going to allow the – we've got a great team there now and I feel like they are going to be able to sustain productivity and efficiency with the only caveat to that being that in some parts of the country we are scrambling to get direct labor and to handle the business. But we’ve done a lot of work on recruiting, retention, motivation and things like that to try to ease the demand for new labor as much as possible.
Jonathan Braatz: If assuming zinc stays at the current levels, you still have a little bit of a headwind looking forward?
Thomas Ferguson: No, we’ve actually, we're in pretty good…
Jonathan Braatz: I mean tailwind, I meant tailwind.
Thomas Ferguson: Yes, okay. Yes, we do have a little more of a tailwind than the - I’d go along with that.
Jonathan Braatz: Okay.
Thomas Ferguson: Yes, we have a hard time predicting the direction of commodity cost like zinc. If you look back over the last few years you know we’d probably be wrong if we made a guess. But we feel pretty good. There’s - the zinc supply and demand are kind of rocking in the range and so we have had - we have a done some things to, you know, keep our zinc predictable, I guess would be the way I’d like to put it. So, as we look forward for the year, we have about six months of zinc inventory in our kettles. So we’re getting close to that point where the cost of our zinc is pretty much in the bag by the end of this quarter anyways.
Jonathan Braatz: Okay. Tom, you've talked a little bit about uncertainty surrounding China and the tariffs. Are those uncertainties or concerns reflecting your ability maybe to bid on new business or is it issues that confront your customers and hence your ability to work with your customers? What exactly is the uncertainty and concerns around it?
Thomas Ferguson: You know, a lot of these contracts date back a couple of years and so they weren’t anticipating things like tariffs and so, as we’ve mentioned before we have switched from having a joint venture over in China to go on with a wholly-owned manufacturing facility or - and having that capability of having technicians in country which allows us to control that better. But you know it is 30% tariffs for stuff coming out of the U.S. into China and we’re managing through that with the combination of one, negotiating with the customers and two, you know, what can we manufacture in-country that’s not going to be subject to those tariffs. So I feel like our team there is managing this very effectively, but it's, we keep it at the forefront just because it’s a big chunk of our backlog.
Jonathan Braatz: Okay.
Thomas Ferguson: So making sure that we can generate the margins that we had estimated we’re going to get and abide by the contractual commitments for deliveries and not get hung up in customs. So the team working on that they’re really good. We’ve added some good resources in China and they’re helping us and then our folks in the facility in Medway, they've been doing business in China for quite a while. So while we feel comfortable, we also feel – we feel we should call it out here for you.
Jonathan Braatz: Okay, thank you very much.
Operator: [Operator Instructions] Our next question comes from Noelle Dilts of Stifel. Please proceed.
Noelle Dilts: Hi, good morning and congratulations on a nice quarter.
Thomas Ferguson: Thanks Noelle.
Paul Fehlman: Good morning.
Noelle Dilts: Good morning. So just - I just want to expand a bit on Jon’s question on the Metal Coatings margins. You know, is there any way you can kind of again walk us through how to think about how much of the improvement from the fourth quarter to the first quarter came from zinc versus pricing and then maybe incorporate the headwind from labor? And then just how are you thinking about - is there any clarity you can give us on how to think about the kettle cost of zinc through the year and if you think these margins and the around the 24% level are sustainable?
Paul Fehlman: While we typically don’t go too deep into that level of detail it’s pretty close to have them off from some pricing events and costs with action just for zinc. I would say that on the pricing it’s more of - we’ve gone into - we’ve gone in and chosen our pricing and how we’re going to price in certain markets. So we’re definitely not making blanket statements about the overall market. As far as the zinc pricing goes, one of the things we learned last quarter is that we do a different amount of zinc in every market and that can be a little bit different the way it moves up and down. But I'd say going forward Noelle, as Tom alluded to earlier, basically on a comparative basis through the last year from here on out for another six months to nine months, you should expect it to be a positive comparison just because you know where those zinc markets come from and it's been down for the majority of the year. There have been a couple of blips here and there, but I think we’re pretty well I think predictable. Let’s see where Tom, which I think is exactly the right supports to use for the next six to nine months. Now, having said that, we’re still keeping an eye on the labor cost, but I would say that we’re now getting into that zone that we had committed to get back to earlier and while it may not be exactly 24%, I think that, not making a forward looking statement on exactly what this margin is, but we’re back in that 23% to 24% range for a while. Tom?
Thomas Ferguson: Yes, I think the one thing that as we continue to acquire powder coaters which so far are the ones we’ve acquired have been fairly like, I've got to say as we get more we start to get some of the same leverage points that we have with galvanizing. So that’s one of the reasons we’re trying to look at buying powder coaters and platers and building up within certain areas of a couple of states and then expanding beyond that. But those margins typically would be a little bit lower than our galvanizing margins and so as we do that, as continuous galvanizing rebar becomes a bigger part of our sales that’s why we’re giving a range of 23% to 25%. But we feel real good about the galvanizing’s ability to be in that range.
Noelle Dilts: Okay great. Thanks that’s helpful. Then in terms of just shifting over to the Energy segment, two questions. One, any additional clarity you can provide on the timing of the shipment on the project in China through the year that might drive some variation across the quarters? And second, you mentioned that certain electrical markets are improving, I know you said that the oil field services the oil patch businesses has weakened a bit, but can you give us a little bit more detail on where you’re seeing improvements?
Thomas Ferguson: Yes, I think the, you know, we now have three enclosure sites from Chattanooga, up outside of Baltimore than over to Kansas, and then we got the two switchgear plants and one in Missouri and the other up in Oshkosh, Wisconsin. And we feel good about that coverage that it is – so we feel like there is enough market activity, that's becoming, the focus now is more on operational excellence and taking care of customers, and because we can move the load around to some extent. We’re firing up a part in some cases the transportation can become a little bit of a burden, but we can at least share resources better than we used to be able to. So we see the transmission distribution market is looking okay for us. We like the activity on data centers and that’s where I’d say we’ve adapted some of the things we’ve been doing in enclosures to go after that type of business and seeing those opportunities. And so that’s just a lot of our internal business development is going on targeting niches versus the broad market and but we feel good about those. Where we haven't seen a lot of improvement is in medium voltage bus because we had to replaced that nuclear portion of the business that isn’t available to us anymore with norm, traditional bus business and that's where there's still lot of competition out there and demand hasn’t improved enough to at least from my perspective to occupy the capacity that’s available. And then oil patch, those are relatively small business units overall, but we did want to call out the fact the oil patch related business which is lighting and tubing, they’re just seeing a little bit of slowdown and so that’s kind of the range of things we’re seeing across those businesses.
Noelle Dilts: Great, thanks very much.
Thomas Ferguson: All right.
Operator: This concludes our question-and-answer session. At this time, I would like to turn the conference over to Mr. Tom Ferguson, Chief Executive Officer of AZZ for any closing remarks.
Thomas Ferguson: Yes, thank you. You know this, we feel good about how we finished our first quarter. We feel good about where our teams are now positioned. We’re building out a leadership bench to ensure that we have the right capabilities as we go forward. We have a lot of good things going on in terms of innovation and pursuing new opportunities and as we de-risk away from nuclear to some extent and depend more on our international opportunities, international sales and business development organizations. We feel good about the pipeline of, what I call as bolt-on acquisitions and feel good about our ability to focus on those and get them done and get them integrated effectively. So, with that, I look forward to finishing out Q2 which, my one caution is that, that is when there's not a lot of turnaround or outages in the season, so then this Q2 tends to be a little bit lower and I just highlight that for you. But then we get into the fall season which right now looks positive for us. And with that, I appreciate and look forward to talking to you all on the next call.
Operator: The conference has now concluded. Thank you for attending today's presentation and you may now disconnect.